Jill Homenuk: Thank you. Good morning, everyone, and thanks for joining us. We're broadcasting this call on our website. Hosting the call today are Gerry Schwartz, our Founder, and CEO; Bobby Le Blanc, Onex's President and Head of Onex Partners; and Chris Govan, our Chief Financial Officer. Earlier this morning, we issued our second quarter 2022 press release, MD&A, and consolidated financial statements, which are available on the Shareholders section of our website and have also been filed on SEDAR. Our supplemental information package is also available on our website. As a reminder, all references to dollar amounts on this call are in U.S. unless otherwise stated. I must also point everyone to our webcast presentation for our usual disclaimer and cautionary factors relating to any forward-looking statements contained in today's presentation and remarks. With that, I'll turn the call over to Gerry.
Gerry Schwartz: Thanks, Jill. Good morning, everybody, and thanks for joining us. Onex had a solid second quarter. We navigated a challenging environment, while continuing to make progress on our strategic plan. We're focused on growing our asset management business, driving fee-related earnings and generating sustained performance of our investments. As Bobby and Chris will provide more detail on our results, I wanted to offer some perspective on the market environment and Onex's positioning in it. Clearly, this global economy is going through a period of adjustment as it works through several macro-related issues. While these transitions contribute to short term market uncertainty, nearly 40 years of cycle tested experience has shown us it's possible to weather them and emerge even stronger. At Onex, we've succeeded in the past through discipline and diversification. For nearly four decades, we've exercised our own brand of investing and that has delivered strong, long-term performance. We continue to maintain a debt free structure at the corporate level with significant liquidity and dry powder that allows us to be opportunistic across market conditions. Our differentiated approach takes a long-term view towards value creation. And it's based on true strategic alignment and partnership. And for this reason, we are working closely with our portfolio of companies to optimize performance, maximize efficiency, and build strong foundations for future growth. As for diversification, we have grown our addressable market through strategic expansion. Onex today is more diversified than ever with our platforms in private equity credit and wealth management. We are also launching new strategies, such as Onex Transportation Partners that are headed by experienced industry leaders and present exciting new avenues for growth. Finally, and perhaps most importantly, we're also more diversified in our workforce. This is enriching our company and bringing new perspectives and ideas to our table. Personally, I remain incredibly proud of our team and how they have been responding to the challenges and the opportunities of this time. With that, I'll now turn it over to Bobby for more on the quarter.
Bobby Le Blanc: Thank you, Gerry. And good morning, everyone. Onex continues to manage well, though, an uncertain and challenging economic market and geopolitical environment. We remain focused on the task at hand, providing value to all of our stakeholders. Our business has succeeded by generating consistent and meaningful value in driving long-term performance. In the quarter, our investing capital per share was down 2% a solid outcome considering the environment. Overall, our portfolios remain resilient and are benefiting from their diversification and our emphasis on investing discipline, strong execution and operational excellence. Chris will speak more to valuations in his remarks. It's been almost a year since we presented our Investor Day strategic plan. A long term roadmap the plan established where we expect to be by 2026 and how we aim to get there. Although it's still early stages, we are making progress and see a clear path to continue to grow our business and drive increased profitability. The progress may not always be linear, especially in periods of market volatility, but we remain committed to our long-term objectives. Recently we announced Ronnie Jaber and Sandeep Alva as Co-Heads of Onex Credit. Ronnie is accountable for all of our structured, liquid and opportunistic strategies, while Sandeep will continue to oversee direct lending, mezzanine and structured equity. Together they will oversee strategic planning, operations, and talent manage initiatives related to our Credit business. Ronnie and Sandeep are both seasoned and successful investors with a strong vision for the future. We have ambitious growth plans for credit fee generating AUM and fee related earnings. So far in 2022, we've added $1.1 billion of new fee-generating AUM in our CLO business. In fact, earlier this week, we priced CLO-25, raising an additional $360 million, an impressive result in a challenging issuance environment. We expect to be active again, issuing CLOs in both the U.S. and Europe before the end of the year. In other areas of credit, our Onex Falcon flagship mezzanine fund is actively fundraising with good early interest. Onex Transportation Partners or OTP, which is the new product we announced last quarter, is also making good progress. We’ve added a significant talent to the team and are close to being at full complement. The team is actively sourcing new investments, and we expect to officially launch fundraising in the fall. In private equity, our teams are working with operating company management to navigate effectively in the current environment. We're focused on value creation plans and proactive and innovator strategies for mitigating the impacts of inflationary pressures and rising rates. In June, our operations team led a procurement and productivity council for operating companies. The council covered a wide range of topics, all focused on controlling costs and driving efficiencies. 32 of our companies attended with over a 100 CEOs, CFOs and procurement leaders participating. Coming out of the council, each company has an action plan tailored to their own specific opportunities. These plans should drive productivity gains this year and into 2023. Within Onex Partners, we previously announced partial realizations for Ryan, LLC and AIT, both of which are expected to close soon. Following quarter end, we completed a successful realization for part two with proceeds to Onex of $155 million. Across the PE industry realization activity has slowed, but there is still an opportunity to execute with high quality assets. On fundraising, given the market and industry environment and after meaningful discussions with LPs, our first close for Onex Partners’ fix will now be in the fall. LPs, continue to face diligence pressures and have told us they appreciate the extra time. We expect to provide an update on our next earnings call. At the same time, we'll provide an update on ONCAP V, as it also launches fundraising this fall. Our private wealth clients through Gluskin Sheff will have an opportunity to invest in both ONCAP V and OTP, in addition to Onex Partners VI. While clients have already shown a strong appetite for our private credit solutions, rounding out our offering to include private equity is an important development. Providing a full spectrum of alternative investment solutions to high net worth clients is a competitive differentiator that will contribute to future fee generating AUM growth. We're pleased with the progress Dave Kelly and the team are making this quarter plus can add positive net flows, a significant achievement in this market. And notably our third consecutive quarter of positive flows. Like all of our businesses, we have ambitious growth plans for private wealth and look forward to providing updates on future calls. Before turning over to Chris, I'd like to echo Gerry's comments about the strength of Onex's position. We have a debt free balance sheet, a clearly defined long-term strategic plan, and importantly, a track record of being opportunistic in times of market dislocation. We continue to explore ways to maximize our capital allocation and grow our business consistent with our long-term objectives. Today, more than ever, it's crucial to have the right culture and people to execute. We have an experienced team committed to our values and laser-focused on delivering results. Together, we can continue to drive value across our platforms for all of our stakeholders. With that, I'll hand it over to Chris for more on our Q2 performance.
Chris Govan: Thanks, Bobby. And good morning, everyone. We had a net segment loss of $3.35 per share in Q2, which includes $2.38 from our investment in capital and $0.97 from asset management. Looking at fee-related earnings, the loss was $10 million with distributable earnings of $23 million for the quarter. I'll dig into the asset manager numbers when we get there. But let's start with our investing results for the quarter. Q2 was challenging for both the equity and credit markets, which contributed to our PE portfolio being off 3%. Breaking that down Onex Partners and our direct PE investments were both off 5% while ONCAP was up 11% in the quarter. The public companies in our portfolio were down about 13%. But as you have seen from our publicly traded peers, who have already reported, private company marks have been less volatile than the public markets. Importantly, this has also been the case at Onex when public markets surge upwards. Private company marks are typically supported by underlying models that incorporate the longer term outlooks and fundamentals of our businesses. However, we do make adjustments for current market inputs, including, for example, the rising cost of financing we saw over the course of Q2. In addition, we incorporate private market transactions into our valuation analysis. For many of our companies, we continue to see private market transactions at values materially higher than that implied by the day-to-day trading of comparable public companies. Our realizations of Partou, AIT and Ryan had a meaningful aggregate premium to year end marks, provide tangible examples of the private markets continuing to provide attractive exit opportunities, despite the public market weakness. These same factors contributed to the resilience of the ONCAP portfolio. However, ONCAP also had very strong company-specific performance at three businesses that drove all the net gains in the quarter. The outperformance at ONCAP is a good example of the benefit of investing behind and executing on value creation DCs, product launches, accretive M&A, geographic expansion and new strategic partnerships, tangible and controllable levers that have driven value creation at ONCAP year-to-date. If we look at our PE investing results by vertical you will see we had declined across all verticals this quarter, although healthcare and industrials continue to have positive returns year-to-date. Our services vertical has been notably impacted by the decrease in Clarivate and PowerSchool's trading prices this year. But we see meaningful upside from both those investments going forward. Overall, our diversification and controllable investment theses serves us well. Turning to Credit. We experienced the loss of $44 million or 6% in the quarter substantially all from CLO equity, consistent with the Credit Suisse Leveraged Loan Index being down 4%. But as you've heard from me many times, we focus on the cash on cash performance of our CLO investments, not the quarterly mark-to-market results. And in this respect our CLOs continue to perform with Onex receiving $27 million in regular quarterly distributions. And with CLOs providing quasi perpetual fee generating AUM and Onex's share of the CLOs equity continuing to decline, we're willing to accept some mark-to-market volatility, while creating long-term value for shareholders. All told our investing capital per share ended the quarter at $91.21, a decline of 2% since Q1, but a 14% LTM increase. This strong performance relative to the public market was driven by our PE portfolio, but also benefited from one of the best investment opportunities we've seen for quite some time buying back Onex shares. Through the end of July we've repurchased 1.4 million shares at an average price of C$78 capturing more than C$50 million of hard NAV for our continuing shareholders. Now let's look at the asset management side of the business. Our fee generating AUM was down slightly in the quarter, driven by market declines, but largely offset by CLO-24 and our Mercer strategic partnership. Excluding the marked headwinds fee generating AUM was up about 2% in the quarter. As we look forward to the rest of 2022, given the market backdrop and decision to push back the timing of OP VI, FG AUM growth will not hit our 15% target. However, we do expect sizable additions in the back half of the year with closes for OP VI and Falcon VII and CLO markets beginning to reopen. We will have a clearer sense of where 2022 FG AUM growth will shake out on the Q3 call. But the shortfall in 2022 growth doesn't change our five-year outlook. We see the headwinds we're experiencing today as transitory with the short-term impact of market performance expected to reverse and the delay in the OP VI fundraise being a timing issue. Our plan to organically double fee generating AUM over five years remains. As we continue to build Onex's capacity to generate FRE, let's turn to where we're at today. In the quarter, we had an FRE loss of $10 million consisting of a $2 million contribution from the asset management platforms and $12 million of cost related to the public company investing Onex's balance sheet. This compares to fee related earnings of $1 million last year. The year-over-year decline was driven by the lack of credit performance fees, not a surprise given the markets, and slightly lower PE fees, reflecting the impact of realizations on the fee base. As I've discussed on prior calls, PE fees will continue to decline for the balance of this year, a significant but short-term step function decline when we exit OP V's commitment period. However, we expect that to be offset by even larger step function increases as we move towards final closes of OP VI and ONCAP V through 2023. Turning quickly to distributable earnings, despite a quiet quarter for realizations, Onex generated 23 million of distributable earnings. We expect Onex to consistently generate DE in the coming years, which is an important foundation to our growth plan. Now while realized carried interest is included in DE, we continue to keep an eye on mark-to-market carried interest as the more current indicator of value creation. The value we generate from carried interest will of course be driven by the underlying performance of Carrie generating funds. Despite the weaker performance in Q2, particularly for the public companies in OP IV, you'll see that over the past year Onex has still benefited from $65 million of mark-to-market carry. And in the long-term, we expect carry to generate significant value with shareholders having a stake in over $25 billion of carry-paying AUM at quarter end. Despite the choppy markets and some delays in our fundraising plans, we're well positioned to execute going forward with $1.3 billion of cash and near cash and a steady stream of distributor earnings from our balance sheet, we can continue to execute on strategic initiatives and ensure our investment platforms to maintain their momentum and take advantage of opportunities. And with that we'll be happy to take any questions.
Operator: [Operator Instructions] Our first question comes from the line of Graham Ryding with TD. Your line is now open.
Graham Ryding: Yes. Maybe I was just wondering if you could elaborate on what specifically is [indiscernible] and fundraising for OP VI and maybe some color on just how that process is going and the targeted fun size overall for that?
Bobby Le Blanc: Hey Graham, it's Bobby. Yes. So we had a lot of conversation with our largest OPs in the 2022 calendar for fundraising we're just so busy that we decided to delay it a couple of months largely as a result of those conversations. And that does a few things, it allows us to close on money that is available in 2022 later this year, but it also allows us to extend at the beginning – how much time we have to fundraise after that first close to cover all of 2023 where people's calendars are better. Technically we could actually go into 2024 because you get 18 months to raise funds after your first close. So we just always a prudent thing to do given the current environment we're sitting on, environment that's unique to us Graham and the market is very crowded as you'll see in the other U.S. alternative asset earnings releases, but that was the reason. We have not put out a target publicly on that fund size; just so you know.
Graham Ryding: Okay. Maybe you could talk about just sort of how you're approaching. I think you gave a little bit of color early, but how you're approaching this sort of portfolio companies given the rising rate backdrop. How would you describe sort of your, how you're stress test reviewing all the portfolio companies? And then your use or appetite for leverage within your private equity investments relative to sort of the private equity market overall. How do you feel your position on that front?
Gerry Schwartz: Like overall on a leverage level, I think we're probably marginally better than the overall PE market. We tend to under lever things in aggregate versus our peers. Look, but a higher cost to borrow creates more – more of your cash generation to go pay down debt when you have floating rate debt, right? So we're looking at all kinds of ways including: increased price, productivity measures, everything you can think of across the board, the portfolio companies to make sure we can create other means and value to offset a higher cost to borrow. But there's no question that the amount of cash that's going to leave the portfolio companies has gone up in the last quarter as rates have risen.
Graham Ryding: Okay. Understood. And then when I look at your – when I look at your just the drop quarter-over-quarter of your private equity portfolio, I think it was down 3%. It sounds like that was more of a reflection of you sort of using private market valuations, as opposed to looking at the public markets. And then also how much of an impact – company specific fundamentals influence that?
Gerry Schwartz: I'll let Chris, I don't think that's entirely accurate, but Chris, go ahead.
Chris Govan: Yes. Hey, Graham. It's difficult to sort of break down exactly the allocation if you will to those various factors, but I'm getting some feedback, sorry, but we do look at public market comparables and they were a – definitely a headwind in our valuations. But what I would say is that we don't look only at public company comparables and our valuations include depending on the asset, but include DCF models and also comparable private market transactions where we can see similar companies transacting in the private market and can infer valuation multiples from those transactions. Again, as I said rather than relying exclusively on, what 100 shares of a comparable public company might trade at on an exchange on any particular given day. So it's not that we ignore the public company comparables, but they are sort of one factor that that goes into the overall evaluation analysis.
Gerry Schwartz: And I think big picture Graham, the fact that we were – we have growth businesses obviously, but we're underweight growth businesses overall relative to the industry. I think has had us lag a little bit over the past year or two and interestingly it benefited us on a relative basis that mix over the last quarter.
Graham Ryding: Okay. Interesting point. Yes, that's it for me. Thank you.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Gerry Schwartz for closing remarks.
Bobby Le Blanc: I think we might have lost Gerry. So I'll step in. Thank you everybody for the time. Hopefully you get to enjoy sometime this summer, and we'll be back speaking with you in November. If you have any questions in the meantime, feel free to reach out to Jill or anybody on our team. Thank you.
Gerry Schwartz: I was on mute. Sorry about that. I just want to add to Bobby's comment that we really look forward to speaking with you again in bringing up-to-date in the next quarter. And we deeply appreciate everybody's support over the past lengthy period of time. So I hope everybody does have a good summer and see you in the next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.